Operator: Ms. O'Donnell, you may begin.
Nancy O'Donnell: Good morning. This is Nancy O'Donnell, joining me on the call today are Mike Polk, President and CEO; and Doug Martin, Executive VP and CFO. During today's call, we will refer to certain non-GAAP financial measures, including, but not limited to, core sales and normalized EPS. Please note that Newell has provided a reconciliation of the non-GAAP financial measures to the most directly comparable GAAP financial measures in our earnings release and in the IR portion of our website, as well as on our IR app. As we normally do, we also have provided risk factors regarding forward-looking statements in our earnings release and in our filings with the SEC. While forward-looking statements are based on our best currently available information, such statements include assumptions of future events that are subject to risks. Actual results may differ materially. We do not undertake to update any of these forward-looking statements. With that, I would like to turn the call over to Mike Polk.
Michael B. Polk: Thank you, Nancy. Good morning, everyone. Thanks for joining the call. This morning we reported a strong set of Q2 results across all key metrics, of course sales grew 4.6%, ahead of our expectations, as a result of strong growth in Writing, Tools, and Commercial Products. Combined, these businesses delivered core sales growth of 10%. Normalized gross margins increased 80 basis points to 40.3%, driven by increased productivity, positive pricing, and positive mix. Normalized operating margin increased 90 basis points to 15.8%, despite increased advertising investment of nearly 100 basis points, as we more than doubled our Q2 2013 advertising investment behind new brand campaigns and innovation. We delivered normalized net income growth of 12.6% and operating cash flow growth of nearly 52%. We returned over $160 million to shareholders in Q2, almost double what we did last year, having increased our quarterly dividend to $0.17 per share and bought back 3.9 million shares. And we delivered normalized earnings per share of $0.59, up 18% versus prior year and $0.04 ahead of consensus. We closed the first half 2014 with good momentum, particularly on Writing, Commercial Products and Tools. Writing core sales increased 8.5%, in the first half, driven by market share growth in both geographies and better than expected back-to-school selling, in anticipation of heavy third quarter advertising, marketing and merchandising programs. Commercial products core sales have increased by 0.3% in the first half, as a result of strong volume growth in Rubbermaid Commercial Products in all regions, and the return to growth of Rubbermaid Healthcare in North America in Q2. Tools core sales increased 7.8% in the first half, driven by strong volume growth on Irwin, across all regions, and very good growth of Lenox in North America. These strong results in Writing, Commercial Products and Tools have helped us absorb the impact of foreign exchange headwinds, the disruption of the Baby & Parenting recall, the consequences of our strategic choices to enter certain -- exit certain product lines in Europe and reposition the Rubbermaid consumer business for profitable growth. Through the first 6 months core sales increased 2.8%, despite about 45 basis points of product line exits in Europe. Normalized operating income margins expanded 40 basis points, despite a nearly 80 basis point increase in advertising. And normalized EPS increased to $0.94, up 10.6% versus prior year. We're pleased with the momentum building in the business, having just transitioned to our new operating model 1 year ago. Since that change a year ago, we've begun to see growth accelerate. For the 12 months ending Q2 2014, our core growth rate has accelerated 60 basis points versus the prior 12-month period to 3.3%. While this is good progress, we're quite clear, there is more opportunity in front of us than behind. Our Project Renewal savings program is right on track, and we're set to release incremental savings in the second half of 2014. These savings are being reinvested in the business for growth, just as our strengthened brand and innovation initiatives are hitting the market. With a focused effort of our new delivery organization, our global supply chain team and our operating segments are together identifying significant new opportunities in procurements, overheads, distribution and manufacturing network optimization, and complexity reduction. With the focused efforts of our new development organization, we're already seeing the quality of our innovation improve with new products like Sharpie Clear View highlighters, Paper Mate Mix and Match mechanical pencils, Graco 4EVER Car Seats and Irwin impact Performance Series accessories. We are producing new, more effective advertising, which has been validated in test, and is now in market, driving increased point of sale and market share gains across multiple geographies. And we've launched new campaigns on Sharpie, Paper Mate, InkJoy, Expo and Irwin, and in the second half, we'll launch new campaigns on Graco, Mr. Sketch, and Calphalon, the first advertising in years for these brands. Clearly, we are proud of our second quarter and first half performance. With that, let me hand the call over to Doug, to go through a more detailed review of Q2 results, and then I'll return to provide some perspective on the balance of the year and our agreement to acquire Ignite Holdings and its Contigo and Avex brands.
Douglas L. Martin: Thanks, Mike, and good morning, everyone. I'm pleased to provide additional details on the results of a very good second quarter for Newell. Q2 reported net sales were $1.52 billion, a 3.1% increase versus last year. Core sales, which exclude the impact of net unfavorable FX, increased 4.6%. Strong volume growth in our Writing, Tools and Commercial Products businesses, along with broad-based positive pricing across the business, was partially offset by weaker results in the Baby and Home Solutions segment and by planned EMEA product line exits. Reported gross margin was 40% and normalized gross margin was 40.3%, up 80 basis points over last year. This gross margin performance, our best in the nearly 27 years that I've been with company, reflects good productivity, pricing and mix, which more than offset inflation and unfavorable currency. Normalized SG&A expense was $372.8 million or 24.5% of sales, down 10 basis points versus the prior year. As planned, we increased advertising spend by 100 basis points in the quarter to support InkJoy TV advertising in the U.S., Latin America, and Asia, as well as the launch of our 50 ways to use Sharpie campaign in anticipation of back-to-school in North America. We will continue to increase advertising investment in the back half behind our writing brands, as well as campaigns on Graco, Irwin and Calphalon. Normalized operating margin was 15.8%, up 90 basis points, reflecting gross margin expansion and operating cost leverage, partially offset by increased strategic investment in our brands and capabilities. Reported operating margin was 14% compared with 12.6% in the prior year. Interest expense of $15 million was flat year-over-year, and our normalized tax rate was 27.2% compared with 26.6% a year ago. We still expect the full-year normalized tax rate to be between 24% and 25%. Normalized earnings per share, which exclude restructuring and restructuring related costs and certain other onetime costs, was $0.59, a $0.09 or 18% increase to last year. Second quarter reported earnings per share were $0.54, compared with $0.37 last year. The improvement in normalized EPS was driven by sales growth, gross margin expansion, a swing to a gain in net operating expense from a loss last year and lower share count, partially offset by negative currency. Based on current spike of [ph] work rates, we estimate the negative impact of translational FX to be between $0.03 and $0.04 for the back half of 2014. For the full year, total negative impact of both transactional and translational FX is expected to be between $0.12 and $0.14. Operating cash flow is $96.2 million in Q2, a $32.9 million increase over the prior year. This is driven largely by working capital improvements. We returned $161.2 million to shareholders during the quarter, including $46.9 million of dividends and a $114.3 million and repurchased 3.9 million shares. We stepped up our repurchase activity during the quarter to take advantage of what we believe to be an attractive price. The lower number of shares outstanding versus last year contributed about $0.03 to EPS growth in the quarter, most of that $0.03 is attributable to last year's accelerated share repurchase plan and the repurchase activity during the quarter contributed about 1/3 of a penny. As of the end of Q2, we have $141 million available under our $300 million authorization, and for the full year, we are now miling an annualized average share count of approximately 279 million shares. And finally, our balance sheet remains very healthy. We have $143 million of cash on hand, and approximately $800 million in liquidity. As previously disclosed, we intend to finance the Ignite acquisition with a combination of available cash and low cost short-term borrowings. Our debt-to-equity, EBITDA multiple and interest coverage ratios continue to be strong, giving us continued financial flexibility for further share repurchases or acquisitions, should we choose to pursue these options. I'll now move on to segment results. Starting with Writing, reported net sales grew 5.2% to $502.6 million. Core sales increased 8.9%. Our Latin America writing business delivered strong double-digit core sales growth, fueled by pricing and the continued success of InkJoy. In North America, core sales grew strong mid-single digits, as we were successful at shipping in a portion of our back-to-school offering earlier, in anticipation of our Q3 advertising campaigns and a strong back-to-school season. The Q2 normalized operating margin in our Writing segment was 26.6%, a 70 basis point improvement over the prior year, driven by strong productivity, pricing and cost management, partially offset by increased advertising spend. The Home Solutions segment net sales fell by 2.6% to $388.9 million. Core sales decreased 1.8% due to a decline of Rubbermaid consumer where we are deemphasizing some low margin businesses and in the core, which is comping prior year load-ins and sizable window treatments. Partially offsetting this decline was good growth in Calphalon, driven by distribution gains. Home Solutions' normalized operating margin was 12.4%, a 110 basis points decline versus the prior year, reflecting the delevaraging impact of lower sales volume and input cost inflation, partially offset by productivity and reduced overhead expense. The Tools segment delivered net sales of $222.3 million, a 12.3% increase. Core sales grew 12.9%, led by double-digit growth in Latin America and EMEA, with mid- single-digit growth in North America and APAC. If you adjust for the prior year pullforward of sales into Q1 related to the SAP Brazil implementation, Tool segment core sales grew 10.1% in the second quarter. We continue to have good success in Brazil with Irwin, which launched the second wave of its Brazilian tools expansion in the new product categories this quarter. We are also seeing strength in the Linux business in North America and EMEA. Operating margin in the Tool segment was 13.5%, a 430 basis point improvement versus last year. This increase was driven by greater operating leverage from the stronger sales growth and gross margin expansion behind pricing, improved mix, as well as reduced launched brands supporting Brazil versus last year. Reported net sales in the Commercial Product segment increased 9.8% to $223.5 million. Core sales increased 9.9%. Rubbermaid Commercial benefited from favorable pricing and good volume growth in North America and Latin America. The Healthcare business also contributed to the core sales improvement, as we are now comping against a more representative sales pace. Commercial product's operating margin was 16.2%, a 540 basis point increase to last year, thanks to leverage from higher sales and improved gross margin. Our Baby segment reported $183.7 million in net sales, a 6.4% decrease. Core sales fell 6.7%, due to weakness at Aprica in Japan, which is facing increased competitive pressure, and also from planned product line exits in EMEA. Partially offsetting the decline was low single-digit growth in North America, as we are seeing a rebound from the recall related softness earlier this year. Graco has a terrific pipeline and innovation hitting the market in the back half, supported by strong advertising and promotion campaigns. We remain confident that the Baby segment will return to healthier sales trends in the back half. Baby's Q2 normalized operating margin was 6.9%, down 520 basis points to last year, largely due to the deleveraging impact of lower sales, a weaker yen and inflation, partially offset by pricing. Looking at Q2 sales by geography. North America grew 3.4%, with strong results from Tools, Commercial Products and Writing offset by Home Solutions. In EMEA, core sales declined 80 basis points, driven by planned product line exits of $6 million, primarily in Writing and Baby. If adjusted, for the impact of these exits, EMEA's underlying growth rate was a positive 2.5%, due primarily to growth in our Tools and Writing businesses. EMEA's operating margin results improved significantly, as we are seeing strong results from the outstanding dedication and effort of our EMEA team, delivering on the transformation initiatives. In Latin America, core sales grew 48.6% due to strong pricing and volume gains. Adjusted for last year's SAP Brazil pull forward, Latin America would have generated core sales growth of approximately 14%. Finally, Asia core sales showed a decline of 7.9%, largely driven by Aprica. With that, I'll turn the call back to Mike.
Michael B. Polk: Thanks, Doug. So now let's turn to our 2014 outlook. This morning we reaffirmed guidance. Core sales growth of 3% to 4%, normalized operating income margin expansion of up to 40 basis points; normalized EPS of $1.94 to $2, which represents growth of 6% to 9%; and operating cash flow in the range of $600 million to $650 million. Our full-year guidance assumes sustained strong growth in Tools and Commercial Products, excellent sellout and market share growth on Writing, but with a more modest second half core sales growth, as well staged back-to-school retailer inventory positions are sold down. Our return to growth on Baby & Parenting, behind strong innovation and marketing programs, continued repositioning of the Rubbermaid consumer business within Home Solutions, resulting in flat to slight growth in the second half of the year. There are 3 factors that can influence where we fall in our 2014 full-year guidance ranges. The first factor is the planned reignition of growth on our Baby business in the second half of 2014. Despite the continued exit of select Baby product launch in Europe, we expect to deliver solid second half growth in the combined North American and European regions, driven by strong innovation and marketing investment in North America. Our guidance assumes stabilization of our business in Japan, where we have more work to do in response to a reinvigorated and strengthened competitor. I'll be in Japan next week to see the team and agree a plan of action for the next 12 to 18 months. Our guidance assumes low single-digit global growth in the second half on Baby, with sequentially improving results from Q3 to Q4. The second factor is foreign exchange. In Q1 we communicated that the full-year transaction and translation ForEx impact on EPS would be negative $0.10 to $0.12 versus prior year, about $0.05 to $0.06 worse than what was reflected in our original guidance, largely due to the Venezuela devaluation. Transaction ForEx has worsened by another $0.02 since that time. This change is now reflected in our full-year guidance, yielding a negative foreign exchange year-over-year EPS impact of $0.12 to $0.14. The third factor is the impact of our increased second half marketing support on Writing point of sales growth in market share. Our 2014 full year guidance assumes strong sellout during the July to August back-to-school drive period and typical replenishment ordering in in September, on Writing. We are well positioned against this assumption, but we'll not have clarity until late Q3. While we do not provide quarterly guidance, we do expect about $15 million of Q2 net sales and $0.02 of Q2 EPS related to the writing over delivery in anticipation of the Q3 back-to-school drive period, to reverse out in Q3. All that said, in light of our very strong Q2 and first half results, and despite $0.07 to $0.08 worse foreign exchange versus our original full-year guidance, and the first half disruption on our Baby business, we now believe we can deliver normalized EPS closer to the high end of our full-year guidance range, in line with our view that the underlying EPS over delivery in Q2 was $0.02 per share. Let me now turn to our recently announced agreement to acquire Ignite Holdings. As you know from last week's press release, we hope to complete the deal sometime late in Q3. Although the transaction will have a minimal impact on our 2014 results, largely because of timing, we're extremely excited about what Ignite brings to us. The acquisition of the Contigo and Avex brands is very attractive, because it strengthens one of our core businesses, Home Solutions. It provides immediate access to a fast growing on trend segment in the market. It has leading brands that are differentiated via design and product functionality that is patent protected. It allows us to leverage our broad-reaching business system to bring value to Ignite, since its home markets are our home markets. It is growth accretive, margin accretive, and EPS accretive in year 1, and last but not least, it will provide a large cash tax benefit that subsidizes a meaningful portion of the purchase price. Let me go a little deeper on the strategic rationale for the deal. Ignite is the leading designer and marketer of on-the-go thermal and hydration beverage containers in North America. The business is growing at a historical compound annual growth rate of greater than 35%. And they expect to have net sales of approximately $125 million in 2014. The durable beverage container category is large, fast-growing, and on trend. This greater than $1 billion U.S. market is growing double-digits, because the products in this category support consumers increasingly active on the go lifestyle, gives consumers an affordable way the save significant money by avoiding the purchase of disposable water bottles or coffee shop coffee and provide consumers a more sustainable alternative to the estimated 20 billion disposable water bottles, over 20 billion paper coffee cups and nearly 25 billion styrofoam coffee cups thrown out every year in the U.S. In today's world, these trends are more and more relevant, and with well-designed products that deliver great functionality, the on-the-go thermal and hydration beverage container category has tremendous headroom for growth. Importantly, Contigo and Avex are well positioned to build clear market share leadership, because they own unique and differentiated intellectual property that creates a product performance advantage versus the competitive set. Though we cannot build any plans until the deal closes, we can envision the future where we leverage our customer development organization's scale and reach in Ignite's core geographies to accelerate the development of the category and broaden Contigo and Avex distribution. That we invest a portion of Ignite's profitability and leverage our marketing capability to accelerate the development of the Contigo and Avex brands. That we apply Ignite's expertise and IP in this market to strengthen Rubbermaid's participation in category, and perhaps, most importantly, we welcome the incredibly talented people that have built this success story into our organizations to help us replicate it in new markets beyond North America. That's the future we envision for Ignite and Newell, and we think it'll be very bright. We will use our Analyst Day on September 24 in New York to cover our entire development agenda, and we will also take the opportunity to provide more detail on the acquisition of Ignite, which we hope to have completed by that time. So let me now close with a couple of reflections. We delivered an outstanding Q2 and a solid first half of 2014, despite all the external challenges thrown our way earlier in the year, and the ongoing issues with foreign exchange in Venezuela. We have achieved a very competitive set of results, with a higher level of change than most companies even contemplate, let alone drive to action. Our team has once again done an outstanding job of simultaneously driving delivery, while driving change. We're investing behind the core activity systems critical to our business success, establishing a company that unlocks the full potential of our $6 billion business, rather than simply our individual brands or operating units. We're building what we believe will be world-class capabilities in design, marketing and insights, supply chain and customer development. And we've begun to apply these capabilities to strengthen our brands and accelerate our performance. We've deployed cash back into the business to unlock the craft's capacity for growth, making Newell leaner and more efficient, investing a portion of those release costs into our brands for accelerated growth and allowing a portion to flow through to operating margin increases. We strengthened our portfolio by exiting or divesting nearly $350 million of growth margin in EPS diluted businesses, and now announcing an agreement to acquire a growth margin in EPS accretive business. We've put our cash to work, repurchasing nearly $0.75 billion of our own shares over the last 3 years, while simultaneously increasing the annualized dividend from $0.20 per share in early 2011 to $0.68 per share today. We're passing value back to shareholders as we create a new future for our company. And we've generated a very competitive return for our investors through this period, increasing the market capitalization of the company from just over $3 billion in late Q3 2011 to over $8.5 billion today. We are rightly proud of our progress, but more importantly, we are excited by our future, as we're certain that we are just now approaching the starting line and there is a much bigger value creation story to be delivered from this point forward. We're convinced that we're firmly on track to both strengthen the company and create that upside. That's the power of the Growth Game Plan. With that, let me pass the line to Nancy to set up Q&A.
Nancy O'Donnell: Thanks, Mike. We are aware of the fact that there are several CPG companies reporting today, and so we're going to make an effort to close out our call in a timely manner. [Operator Instructions] And we are ready our first question, operator.
Operator: [Operator Instructions] And our first question comes from Nik Modi.
Nik Modi - RBC Capital Markets, LLC, Research Division: Just -- my quick question on -- clearly, you guys are looking for pretty strong back-to-school season, just given some of the activity this quarter. And it seems that this quarter, the overall consumer environment has really deteriorated. So just wanted to get your thoughts on back-to-school in general. But also Wal-Mart has been very clear that they're planning to be very aggressive on price during the back-to-school season. So I'm just trying to understand how that's going to affect you. Are you co-funding any promotions? Or are you just going to get the benefit of Wal-Mart kind of taking down its own margins to get the traffic?
Michael B. Polk: Thanks, Nick. 2 comments. First of all, I think, Nancy's message was directed to me to be pithy in my answers this time. I'll try to be focused. Look our joint customer business plan with Wal-Mart is something we've been working on all year. And we are quite pleased with how it's set up for back-to-school, as we are with our other customers. We take that process really seriously, and it's a very granular and detailed series of conversations that get us to our merchandising plans. And we're quite pleased with the structure we've got set up, and we don't see anything unusual in the way we are funding that activity this year relative to other years. So I deal with that question in that way. We have very, very strong advertising and marketing plans in Q3, starting really in about the middle of July. So maybe the last week we started to go on air with heavyweights, right through the beginning of September. So that is certainly a change in our investment profile versus last year. And in fact, from an advertising standpoint, in Q3, we will spend, as a company, more on advertising than we spent in all of 2013. So we are serious about investing behind our brands. We're clearly doing that in a differentiated way versus our competitive set, we expected to yield the outcome that we expect with respect to POS, sales growth and share increases. That's key to us delivering our full-year number, and we put it all out there to try to make that happen. And we saw evidence in Q2 that, in fact, that's working. That approach is working.
Operator: And we'll take our next question from Connie Maneaty from BMO Capital Markets.
Constance Marie Maneaty - BMO Capital Markets U.S.: Can you give us an idea of what you think the key is to strengthening the Home Solutions business?
Michael B. Polk: The key to strengthening the Home Solutions businesses is grounded in the repositioning of Rubbermaid consumer. And we're in the midst of a pretty significant shift in what we believe our focus should be, strengthening our food and beverage business, strengthening our -- some other components of the business, but pulling back on the less differentiated elements of the product line. And we're going to continue to experience the challenges of that change through this year. It was always contemplated for this year, and it's really important to us for our future to get Rubbermaid into a cadence of profitably growing. And so Connie, it's at the heart of -- it's one of our biggest brand challenges, and we've got a whole pipeline of ideas that we will execute over the next 12 to 18 months on that business, to include leveraging some of the Ignite IP to enable Rubbermaid to participate in the fast growing beverage container market, as I suggested during the earlier comments. We'll get into this in much greater detail at the Analyst Day on the 24, where Mark and Richard and Chuck will -- and the brand teams will walk through where they're headed with Rubbermaid.
Operator: And your next question comes from Olivia Tong from Bank of America Merrill Lynch.
Olivia Tong - BofA Merrill Lynch, Research Division: I want to ask you about gross margin SG&A progression through the quarter and just the sustainability of the margin improvement. Because, clearly, you're running ahead of your full year target so for. And pricing and productivity tend to be pretty sticky. And your advertising's already up pretty dramatically in Q2. So can you talk about margin progression in the second half?
Michael B. Polk: I'll give you my kind of view on gross margin. I'm never really comfortable with where we are in gross margin. I just think there is lot of -- we have a lot of opportunities still in front of us. So I'm very pleased with the outcome in the first half of the year, and with the progress in Q2. And part of the surge to greater than 40%, which has always been sort of one of these historical mile markers that we were holding out there, the surge above 40% on the normalized basis is, in part, due to mix. So as Baby recovers, we'll see some drawdown on that, as a result of Baby momentum. And so I don't think 40% yet is a sustainable level of gross margins. So as you think about your models, don't plan that in. However, it gives us the encouragement that 40% is just a mile marker. And as we continue to tackle the opportunities in the business to release cost, as I suggested that the supply-chain and the operating segments were identifying, we'll have more and more opportunity. So while 40% is not sustainable at this point, it certainly suggests that it will be at some point in our future. And we're incredibly focused on this, because gross margin percentage is the life blood of any consumer goods businesses. And so we need to sustain steady progress through the year. As you know, we've made it part of the short-term incentive program for our management team, and that keeps it sharply in focus.
Operator: And your next question comes from Chris Ferrara from Wells Fargo.
Christopher Ferrara - Wells Fargo Securities, LLC, Research Division: So look, obviously, fundamentals were pretty good. I wonder if you'll go into some, I guess, less fundamental stuff for Venezuela for a second, LatAm was up 40%. How much -- can you take a shot at quantifying, one, how much pricing in Venezuela, like inflationary pricing, helped you? And then, can you talk a little bit about the fair price rules? And the fact that your 1% of sales and 3% to 4% of profit, like how are you thinking about that going forward? And what kind of an impact might that stuff be?
Michael B. Polk: Yes. So we took pricing across Latin America, not just in Venezuela, to deal with in part of transaction ForEx issues across the whole region. And we took to pricing, and as we have been taking pricing in Venezuela to deal with issues there, as you know. Chris, I can't -- I don't want to get into the specifics of exactly how Venezuela pricing contributed to the overall outcome for writing, but it wasn't unsubstantial, it was a meaningful part of Latin writing growth. And it may not be sustainable at that level, going forward. So that's another variable that needs to be considered as you think about gross margin progression. All that said, we are -- we have -- very clear about where we stand, relative to the margin cap loss and Doug can provide a little more detail about what's going on there in our discussions. But we still believe we will have some pricing capacity going forward.
Douglas L. Martin: Yes, Chris. We've -- we're obviously, working with -- working within the rules to evaluate where our pricing structure stands by product line and by channel and customer. There's very likely to be some upward and downward adjustments to our pricing, going forward. Not overly concerned about where that may land right now. So clearly confident there. But -- and I guess, I would say, we're also seeing a little more fluidness in the currency market. So we got some additional cash out that we've been waiting for under the old rate, and we have also got some approvals of some cash back for the first time under SICAD I, because our school product segment came up in the essentials market. So we actually put in a little more inventory, and will -- there'll be little more inventory in the balance sheet at the end of the year, so that we've got that in place for the next year.
Michael B. Polk: I think, the one thing I would say Chris is, in our guidance we've contemplated a more of the same posture. We haven't gotten any indication that we would need to take a different point of view at this point, unlike, as I read some of the earnings releases up until this point. Unlike some of the other things that I've read for some other folks, we haven't had that type of conversation. We will move prices up and prices down to make sure we stay in compliance. And we may not have as much pricing leverage going forward, but we don't see any -- at this point, we don't see any material event.
Operator: And we'll take our next question from Bill Schmitz with Deutsche Bank.
William Schmitz - Deutsche Bank AG, Research Division: Can we talk about the advertising spending increase? I just want to make sure, just for modeling purposes, I have the base rate. So when you guys talk about a 90% increase? Is it a 90% increase of that sort of 2.7% of sales or $154 million from last year? And then I have a follow-up.
Michael B. Polk: No, you're working off a Bill, you're working of a AMP when you quote 2.7%. So you need to be working off a component of that. So you -- don't do the math on 90% of the 2.7%. Do it on 90% of increase on probably less than 50% of that ratio. Okay?
William Schmitz - Deutsche Bank AG, Research Division: Okay. Got you. Because it seems like, even if that's the case, I mean that's like an incremental sort of $50 million in the P&L. So are you just at a point where the SG&A savings program, the reductions are reflecting so you can invest it back, or are you assuming that the uptick in sales growth is going to -- because, obviously, you kept to your guidance and it took us to the high end of the range.
Michael B. Polk: Yes. So we're making good progress on overheads, and we're really scrutinizing the P portion of A&P to make sure that it's a wise spend. So there's an element of this that's overhead driven, there is an element of this that's gross margin increase driven and there is an element of this that is driven by shifts within A&P. So we're going to make sure our money is working hard for us. So we're 1.5, 2 years into the new organization, a year into the new operating model. We're still learning as to what works and what doesn't. And we're moving money around to make sure that we're getting a growth yield for the investments, and we'll continue to learn. Some of what we're doing this year won't work, and we'll adjust it next year. One thing I want to make clear is, in Q3, because we've held our guidance on operating income margin progression. In Q3, you will see us invest beyond the capacity of the margin increase as we get through gross margin. So we've held the range of up to 40 basis points on the full year of operating income margin progression, and here we are through the mid-year period at 40 basis points. So I would just be aware that we're going to spend to strategically support the outcomes, we believe are important in Q3, specifically, which is obviously a very critical drive period.
William Schmitz - Deutsche Bank AG, Research Division: Okay. And then, how do you know if it's working or not and how adaptive, the spending?
Michael B. Polk: It's very adaptive, because we're an operating company now. So, Doug, me, Mark, Bill, Richard, and the VPs of marketing sitting down in the room, and deciding what's working and what's not. And what the segment presidents suggest to buy -- adjust where we're going to spend it. And nothing's static. We're living in a dynamic resource management environment in an operating company. In a holding company, that would've been impossible to do because all the resources were pushed out. If we want to adjust, we adjust. So if think, we've got -- Mr. Sketch's advertising, which I don't know if you've seen, it's just extraordinary. If that's going to yield a pot, we'll shift money midstream to that. So that's the beauty of operating the way we are today. So it's a very flexible model in that sense. And we want to be nimble, we're a relatively small company at $6 billion. We want to leverage that for competitive advantage. Against in what's the power that $6 billion company, but the flexible nature of an operating company to dynamically deploy the resources against the best opportunities. And we're doing that.
Operator: And your next question comes from Lauren Lieberman with Barclays.
Lauren R. Lieberman - Barclays Capital, Research Division: Let me ask a little bit about commercial products. So outside of Healthcare flattening out and turning positive, it does seem like, perhaps, you hit an inflection point in the balance of the business with some of the investments you've made in selling and new product development, finally kicking in. Is that a fair interpretation of results? And if so, how sustainable is it. Is it a matter of contract kicking in the selling cycle? I just want some color there.
Michael B. Polk: Yes, it's a combination of things. So as you know, we've invested in selling resources on Tools and on Commercial Products in Latin America in late 2012 into 2013. Those feet on the street are yielding growth. And that is -- suggests, I think, we're at the early stages of that impact, still. In North America, I'm not sure we've talked about that -- this part of things that explicitly. But we also reoriented our Customer Development Organization when we took all the top heavy elements out and focused our selling activities in North America as 1 company, released a bunch of money that we invested back into more feet on the street in our distributive sales organization. And that clearly is helping us in commercial products and on Lenox, in North America, where that's -- that is where a lot of selling activity happens. So we're getting a growth yield on those investments. Now importantly, on Tools we've got a big innovation agenda in Latin America, where we initiated 1 wave of extending the Tool Belt, as we call it. In Brazil, last year we executed the second wave. The first wave is now being broadened across Latin America. The portfolio is being broadened across Latin America. And on Commercial Products, we've had a fair amount of innovation, Executive Series, which we've exposed to you, is yielding great traction right now, as we push Rubbermaid Commercial Products into 5-star hotels. And so it's a combination of things. It's both selling and innovation. I wouldn't say it's a big advertising investment on these business, it's more winning on the ground through our sales organization and better innovation.
Operator: And your next question comes from Wendy Nicholson with Citi Research.
Wendy Nicholson - Citigroup Inc, Research Division: I'll go back to the margin question. And, obviously, there's a huge amount of variability across your segments in terms of your operating margin. But if I look even just on an annual basis over the last 5 years, almost all of your margin expansion, your total margin expansion, has come from the Writing segment. So I guess, question #1 is the writing profitability nearly 27%. That number specifically, do you think that is sustainable or even expandable? And when you look at the other segments, where you really haven't seen any margin expansion on the sustainable basis over last few years, do you think there is more restructuring? Is that cost cutting? Is it just product mix within this segment's and a gross margin issue? Because I'm trying to get comfortable that, come the analyst meeting, you're going to be able to say, yes, margin expansion is going to be broader and across the segments as opposed to concentrated in that 1 segment.
Michael B. Polk: Yes, it's a good question. So we, obviously, believe it is, but the unlock comes with further work on costs. The nice thing we've seen on both tools and commercial products, we put the cost, we added cost in for selling investment that I was just referring to. Last year we accepted margin step backs, for the sake of scaling the business. And we're starting to see the return for that investment now with the growth rates. And as we hold those fixed costs flat, they'll flow through to our margin. But we have more work to do, clearly. Renewals not done, we're identifying new opportunities. Our overhead structures are still too heavy, as a company, even though we've made great progress. And we're quite clear that we have a lot more work to do on cost, and a lot more work to do to make the company lean and efficient in front of us. And that will release the fuel for growth and a portion of that will flow through the margin, more broadly than it has to date. I feel good about progress we've made this year, on Commercial Products and Tools, and I would expect that to continue, going forward. We stepped back on Baby where we've also, up until this period in time, we've made significant progress on Baby margins more than doubling that business's profitability, and we're dealing with the consequences of the recall and some other issues. And then in Europe, if you look at our European operating income margin, we are well into double-digits now on Europe. And very, very pleased having come from no margin, in that geography, to a very consequential margin structure that also flows through the EPS at a higher rate because of our efficient tax structure in Europe. So I think we're making good progress, but Wendy, the challenge is right on, we're not where we want to be or where we have the potential to be, which is why I always say there is still way more in front of us than behind.
Wendy Nicholson - Citigroup Inc, Research Division: Got it. And just with regard to Europe specifically, can you remind us of what's the product mix within that region? Because I know that's an important driver of the margins as well.
Michael B. Polk: Yes. So Writing and Tools, obviously, very important to us in that region, and we have exited a series of unprofitable Baby businesses and a portion of the Fine Writing business that was less profitable. So as we pivot our portfolio to what we formally called Whacky, which was brands like Paper Mate or Reynolds or Berol or Sharpie. We end up with a mix benefit that flows through to the P&L or Dymo, we end up with a mix benefit that flows through the P&L. And obviously, we are playing our portfolio to win and maximize the contribution of Europe to our overall company's performance. And Europe right now is playing a role of fueling the growth in both our home markets of North America and the Latin expansion that we're investing beyond.
Operator: And your next question comes from Dara Mohsenian from Morgan Stanley.
Dara W. Mohsenian - Morgan Stanley, Research Division: The core sales growth was, obviously, strong in the quarter and a difficult environment in general. I'm just wondering how much of a role, you think, the higher marketing in Q2 had in that topline result, or if you take the topline boost from marketing really still yet to come in the back half of the year, and as you look into 2015, particularly given the Q3 ad spend focus you mentioned? And then the success you've had in Latin America and at least the selling success on the writing side, does that increase your confidence on the topline payback from higher marketing?
Michael B. Polk: We, I think, Dara, it's a good question. We don't -- we have yet to see the full value for the investments we started to make in really middle of Q2 from May onwards. We see it in the share numbers. We see it in the sellout numbers. And it's certainly sort of the lubricant that enabled a strong sell in to back-to-school. Importantly, we see very good growth on Tools and Commercial Products, which again, I think, is selling and innovation driven, rather than investment driven. Q3 will be the real test, whether we get a return on this. And if we do, we should see a relatively good sell in September after the events. And we should see a more broader impact, as we start to invest on brands like Graco in Q3 and brands like Calphalon in Q4. And so we have not seen -- we have not yet seen the sustainable growth acceleration to 4-plus percent type of growth rates. That's still in front of us, Q2 was encouraging. Part of Q2, as we said, was related to the over delivery of the sell in, connected to the strong Q3 plans we've got. But it's encouraging to see some of the results we're delivering, in the context of all the portfolio strengthening moves we're making. Remember, we're exiting roughly $25 million of business in Europe. We are repositioning Rubbermaid Consumer, which is effectively a step back in that business. We've been pulling back on Calphalon Electrics, because we believe the core of that brand is in Cookware and not in Electrics. And that's yielding some valuable margin improvement for that business, but also we'd continue to grow on Calphalon, despite those pullbacks. So you've got these down elevators that are in our core numbers, because we don't separate them out. That gives us encouragement that the forward-looking growth rates have potential to accelerate. But it's going to take the investment we're putting in, and we will get a read on that in the back half of the year, as to whether that strengthens our ability to deliver sustained growth at greater than 4%.
Operator: And your next question comes from John Faucher with JPMorgan.
John A. Faucher - JP Morgan Chase & Co, Research Division: I want to sort of, I guess, look at the flip side of Chris's question, which is, with Latin America driving so much of the core sales growth, it does sort of hide the fact that the rest of the world will particularly be stripped out the Q2 writing benefit, wasn't quite as strong as the overall number would appear. So can you talk to us a little bit about how we should see the rest of the world progressing as we go through the year, sort of trying to strip the Q2 writing benefit out. And what's the glide path on Asia getting better on the Baby care business and also Europe as well?
Michael B. Polk: Yes. We feel terrific about Europe's contribution ex-exits we're getting close to flat on our performance there. I think you should expect more of the same in the back half of the year on Europe, as we continue to exit the less profitable portions of that portfolio. In Asia, we're not investing a lot of energy in those markets yet. In China and then Southeast Asia, there is terrific opportunity there, but we're really playing for, as we've said strategically, we're going to focus on Latin America first and then go east to Asia. That's more of a late '15, 2016 timeframe, as we think about those geographies. So we want to try to hold our own there, although we're prepared to accept some declines in those markets rather than dilute the investment profile in North America and in Latin America. We have a long road to go still, much more upside in Latin America. And we continue -- we will continue to play for that. Our growth algorithm, if you recall, pivoted on 2 things: building our share position in our home markets and extending our geographic footprint, first to Latin America and then to Asia. And that's the algorithm we're executing. As we move forward into 2015, as we head closer to providing guidance, we'll bring in China a bit of a brighter light on how we think that story will evolve, by geography. Your specific question on Japan Baby -- we'll -- we have work to do there. So we're dealing with a different competitor and competitive environment than what we've dealt with for the last 2.5 years. A more assertive competitor, not just on price but through innovation. And so we have to up our game in Japan, and that's not a quick light switch, that's something that's going to take sequential investment, and will take some time for us to turn. So we expect that to be a challenge for a period of time. But it's all hands on deck. And as I said, I'm going over on Monday to sit with the team. Richard will be there, Bill will be with me, Laurel Hurd, who is the President of Baby, will be there as well. And we'll be working with the local team to figure out how to get back the momentum that we have lost in Japan.
Operator: And your next question comes from Joe Altobello with Oppenheimer.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: Since we're talking about Baby, I guess I'll start there. Looks like 2Q was a little bit softer than we thought. Was curious what that looked like versus your internal expectations. And then Mike, you sound a little less sanguine on the back half, obviously, more competition in Japan. But has there been any sort of hangover from the recall at Graco? And then 1 other one if I could sneak it in on Healthcare, sounds like its returning to growth this quarter. Was that an anomaly, or do you think that's really a start of a trend?
Michael B. Polk: So on Baby, we had slight growth in North America in the second quarter, which is important after a tough first quarter during the recall. There is still a lot of moving parts in the business in Q2 on Baby, and especially in the context of the infantry call in early July. So it's been a volatile quarter or 2 for that business in North America. We have an incredibly strong pipeline of activity coming on Baby in North America, for the balance of the year, and for the first time in a long, long time, we'll be advertising the brand, in the back half of the year. So we believe those activities, in concert with the terrific customer relationships we've got, will return the North American business to nice growth in the back half of the year. Europe we'll continue to exit, so I think that will continue to step back. We're very, very happy with the progress we've made on Baby strategically, and we expect that to get back on into a rhythm of constructive performance. On Healthcare, we're encouraged by Healthcare. I think there was a period of time where hospitals were really holding tight on their capital budgets. We see a little bit of loosening there. Do I think we return to the 30%, 40% type of growth rates that we had in 2012 into 2013, no. But we expect, in the back half of the year, to have a nice growth on Healthcare as we continue to develop that business. We've taken our first step to take our Healthcare platform into a new country in Brazil, where we've launched an initiative, a hospital network down there, to see whether we can, in a sustainable way, deliver an extended Healthcare platform beyond North America. And we'll see how that plays out.
Operator: And our next question comes from Jason Gere, KeyBanc Capital Markets.
Jason M. Gere - KeyBanc Capital Markets Inc., Research Division: You know what? Main questions have been answered, so I'll just ask -- I'll talk to Nancy offline with a few other questions.
Michael B. Polk: Okay, Jason.
Operator: And your next question comes from Budd Bugatch from Raymond James.
Budd Bugatch - Raymond James & Associates, Inc., Research Division: And most of my questions have been answered, just let me ask for a little bit more color on project for Newell and maybe what savings have been done today and where they're focused and where Project Renewal now remains for the balance of this project?
Douglas L. Martin: Sure. Budd, this is Doug. We're right on track, actually we're ahead of plan on Project Renewal. We've delivered well over $200 million worth of savings on the program to date, for both renewal 1 and renewal 2. And by the end of the year, we'll be in the range that we said from a savings perspective, with another 6 months to go. So we feel very good about the progress we're making, and we are also thankful we have it. Because you know we've run into some FX challenges over last couple of years, and so that's been very helpful for us. And we've also been able to invest back into the business. So right on track.
Michael B. Polk: And just 1 to build on that. So I think there is a lot more cost opportunity in front of us, as you know, I have said publicly, we'll spent 50, 60 basis points per year in restructuring, going forward beyond renewal. So I want to make sure people don't lose sight of that in their models, as they think about how we developed the business. We're going to have more, as we get into this cost opportunity space there's just more and more opportunity every day. So I just want to make sure I put that marker out there and remind folks of that.
Budd Bugatch - Raymond James & Associates, Inc., Research Division: And what kind of costs are you doing in your renewal. Just right now, I mean, are they product line exits? How are you looking at that?
Michael B. Polk: It's mostly overhead related change, at this point. Some fixed costs in Europe around consolidating our distribution network and our customer service network. But it's mostly overhead related and infrastructure related, as we build out stronger global functions in the 4 areas that we said would be our winning capabilities: design and R&D, marketing and insights, customer development and the supply chain.
Operator: And your final question comes from Bill Chappell with SunTrust.
William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division: I just want to circle back to Ignite and the acquisition there. And just kind of, from a philosophical standpoint, why was everything you've done behind the scenes, creating a new R&D facility, putting money behind all the new products. Why couldn't you have entered these categories on your own? I mean, why pay what was probably the healthy multiple for this type of business? And then what does it kind of say about future acquisitions that you're looking at? And where are the areas where this is a necessary step?
Michael B. Polk: Yes. That's a great question. We're -- the strategic rationale for -- one of the pieces of strategic rationale for this deal is, that it accelerates our ability to participate in what's 1 of the fastest-growing segments of the housewares category. We were doing our own development work in this space. But these companies, these smaller companies have been out there for 10 years, kind of building their capabilities in this area and had established presence. It would have taken us probably 18 months to 2 years to really scale our activity. So this jumpstarts our participation, that's 1 piece of the puzzle. The other thing that excited us about Ignite, is that they got a couple of pieces of intellectual property that we think are very valuable in this category, and enable the creation of differentiated products, relative to the competitive set. So we've got a fast growing category. The deal accelerates our participation and it gives us access to IP, which we can leverage across our business. And so those are the things that converge to make this interesting. Now that alone wouldn't have been enough to, of course, it's growth accretive, margin accretive, EPS accretive. And by the way, the multiple when you adjust for the cash tax benefit is quite attractive. So I think this is 1 that kind of met all of our criteria. To be honest with you, I'm not sure we'll find as many that check every box, but this one happened to do it.
William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division: So just a follow-up. Are there other areas, I mean, is it more on the consumer side where you're looking for these type of things to accelerate? Or is it across the whole spectrum of businesses?
Michael B. Polk: Yes. So, Bill, what we've said is we want to complement our organic agenda that's captured in the Growth Game Plan, with ideas that the strategic acquisitions that enables us to scale our 5 core categories. So we're not interested in 6 business or extending the shoulders of our portfolio. We're interested in winning in the core and strengthening our portfolio in the core. Now the vast majority of our investments and our activity are going to be focused through the launch of the Growth Game Plan on organic growth and development. However, we're going to -- when we see a good opportunity to accelerate our participation that creates a lot of value for shareholders, we're going to go forward and apply some of our capital that way. The best acquisition, obviously, we've made in years has been the buyback of our own stock, over the last 3 years. And so that's -- that fact is not lost on us. So we'll be discriminating in the choices we make, because we don't want -- because we continue to believe that there is -- that we're undervalued, and we have a line of sight to the opportunity connected to the cost agenda. That is quite clear now and compelling. And so we'll find -- we'll strike the right balance between all of these choices, as we think about capital allocation to maximize value. Our interests, as a management team, are aligned with our investors' interests in that respect.
Operator: This concludes our question-and-answer session. I will now turn the call back over to Mr. Polk for closing remarks.
Michael B. Polk: I'll just make a couple and, I think, we've probably lost those vast majority of the folks that were listening. But we're very pleased with Q2, strong set of results. We've delivered a solid set of first half results that give us the confidence to suggest that, despite the headwinds associated with a much worse foreign exchange environment than we anticipated coming in the year and despite the issues created by the external events connected to Baby in the first quarter, we can now suggest that our EPS will deliver towards the high end of the range. Strategically, we feel like we're making good great progress, driving the Growth Game Plan into action, and that's beginning to impact the rate of growth in the business. And importantly, we're putting our capital to work to complement a strong organic agenda defined by the Growth Game Plan with external development now, with the announced acquisition of Ignite. We feel terrific about the team, done an incredible job, driving delivery while simultaneously driving change. And that gives us the confidence that we're on track to create a brighter future for our company. That's all I'd say. I think I'd welcome everybody to come on September 24 to our Analyst Day in New York, where we'll do a deep dive on our development agenda and the Ignite acquisition, which hopefully will be completed by that point in time. Thanks so much. Have a great day.
Operator: Today's call will be available on the web at newellrubbermaid.com. And on digital replay at (888) 203-1112 domestically, and (719) 457-0820 internationally, with an access code of 8825158, starting at 12:00 p.m. Eastern time today. This concludes our conference. You may now disconnect.